Operator: Good afternoon, and welcome to the JOANN Fourth Quarter Fiscal 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Dan Callahan with ICR. Please go ahead.
Dan Callahan: Thank you, and good afternoon. I'd like to remind everyone that the comments made today may include forward-looking statements, which are subject to significant risks and uncertainties that could cause the company's actual results to differ materially from management's current expectations. These statements speak as of today, and the company undertakes no obligation to update or revise any forward-looking statements to reflect subsequent events, new information or future circumstances. Please review the cautionary statements and risk factors contained in the company's earnings press release, materials posted on the company's Investor Relations website and the recent filings with the SEC. During the call today, management may refer to certain non-GAAP financial measures. A reconciliation between GAAP and non-GAAP financial measures can be found in the company's earnings press release, which was filed today with the SEC and posted to the Investor Relations section of JOANN's website at investors.joann.com. On the call today from JOANN are Wade Miquelon, President and Chief Executive Officer; and Scott Sekella, Chief Financial Officer. During the question-and-answer portion of the call, we'll also be joined by Chris DiTullio, JOANN's Executive Vice President and Chief Customer Officer and Rob Will, JOANN's Executive Vice President and Chief Merchant. I will now turn the call over to Wade for his prepared comments.
Wade Miquelon: Thank you. Good afternoon, and welcome to JOANN's fourth quarter and full year fiscal 2023 earnings call. Without a doubt, fiscal 2023 was a challenging year for JOANN and many other companies around the world. At JOANN, we faced a series of challenges that impacted our fiscal 2023 performance, including the [indiscernible] against pandemic and stimulus-fueled comps and uncertain macroeconomic environment, unprecedented inflation, and continued supply chain disruptions, which were particularly felt strongly in terms of increased ocean freight. However, in the face of these challenges, we had sequential improvement in our top line fourth quarter results and are making progress with our ongoing efforts to enhance our cash flow, reduce multiple sources of costs, and implement our strategic Blue Ocean initiatives. Based on these efforts, we believe JOANN is well positioned for fiscal 2024. Before getting into our specific fiscal year 2023 and fourth quarter results, and a more detailed discussion of how we've set ourselves up for fiscal year 2024, I want to take a moment to recognize our team members. Much of how we were able to weather the challenges that fiscal year 2023 presented is attributable to the team members who work at JOANN. And I want to send a heartfelt thanks to our entire JOANN team, including our store support center, our distribution centers, our omni fulfillment center as well as our 20,000 team members in our approximately 830 stores for their unwavering dedication to provide service to our customers in what remained a challenging environment. Commitment and quality of our team members was recognized by others as well, including Forbes and Newsweek, which named JOANN as one of America's best large employers and greatest workplaces for diversity respectively. This is a testament to how our team remains flexible and navigated a very difficult landscape with agility while staying true to our mission to inspire the creative spirit in each of us and help everyone find their happy place through superior assortment, presentation, and service. I could not be prouder of all their hard work. These efforts helped to drive a strong finish to our fourth quarter. After a slow start to the quarter, we saw top line sales pick up post Black Friday, leading to a sequential improvement in our sales and a positive January comp. For the full fourth quarter, we delivered net sales of $693 million and our fourth quarter adjusted EBITDA was $48.6 million or 7% of net sales. The strengthening we saw in our comparable sales, similar to pre-pandemic trends with strong selling [indiscernible] periods gives us confidence as we head into fiscal 2024. Our category performance in the quarter was mixed, but we did see healthy performance in our core sewing and craft businesses. We continue to see the craft technology business as our primary headwind to positive comparable sales. And while our data indicates we are outperforming the industry, sales pressure was significant in the quarter and we expect it will continue to be a headwind into fiscal 2024. On the positive side, our core fabric, sewing, and craft categories strengthened throughout the quarter and also continued to show positive momentum into fiscal year 2024. Seeing our largest sewing and craft categories come back is critical as it indicates that our core customer is reengaged in the space after a brief pullback following the increased spending and engagement during the early pandemic and stimulus-fueled timeframe. In fact, in the month of January, every measurable tier in our known customer database was positive comp, including reactivated customers, up over 20%. We are also seeing this strong engagement with our core enthusiasts and it continues into early fiscal year 2024. Turning to our full year fiscal 2023 results. We registered net sales of $2.22 billion, which was only slightly below our pre-pandemic net sales in fiscal 2020. As I mentioned, we faced many challenges in fiscal year 2023, including significant supply chain disruptions, inflationary pressure and tariffs, resulting in increased incremental costs of over $200 million. We saw ocean freight cost pressures begin to abate in late fiscal 2023 and anticipate this trend will continue into fiscal 2024, which will be a key driver to our expected significant year-over-year improvement in cash generation. Despite the headwinds we faced, our full year adjusted gross margin remained at 170 basis points above fiscal 2020, and we delivered adjusted EBITDA for the year of $98.5 million or 4.4% of net sales. As we look to build on our fourth quarter improvements into fiscal year 2024, we are focused on strengthening our balance sheet and continue to deliver a great customer experience. This includes taking actions to improve cash generation. We've already engaged in multiple activities to enhance our cash position. As you likely saw in our press release and Form 8-K filing earlier this month, we successfully secured a $100 million first-in, last-out credit agreement, providing increased flexibility and access to capital to drive the business. During the continued macroeconomic uncertainty, we believe this new credit agreement is a proactive tool to keep JOANN in a sound financial position and successfully operate the business and invest in our strategic growth initiatives in fiscal 2024. Additionally, in fiscal 2023, we launched our focus, simplify and grow initiative. As part of this initiative, we're targeting approximately $200 million of annual cost savings in 3 general buckets, including $100 million in supply chain costs approximately $60 million in our cost of goods sold and another approximate $40 million in SG&A costs. These efforts are well underway, and we are already seeing cost headwinds become tailwinds through our focused, simplify and grow initiatives, most notably through supply chain cost savings through decreased international and domestic freight costs. We've also been plowing back inflationary price increases in our cost of goods. And these negotiations are ongoing, and we believe they will be a very positive impact from cash flow in 2024, positively impact EBITDA in early fiscal year 2025. Finally, through efforts through our focus, simplify and grow initiative to identify savings and SG&A related costs that are underway as well and they're yielding positive results. We're leaving no stone unturned as we move to improve our cost leverage and become a leader and more agile business. For these efforts, we anticipate seeing more of a cash benefit of these cost reductions in fiscal 2024 with the full annualized adjusted EBITDA impact in fiscal 2025. These cash and EBITDA benefits are independent of growth, but we continue to focus on how to stabilize and grow our top line as well. The start to focus on our customers. In early fiscal 2023, our known database customers increased their engagement throughout the year and represented nearly 70% of our business. During this past year, we reactivated nearly 2 million customers who hadn't shopped over the previous year, and we added 3 million new customers to our database as well. We are very pleased with the continued momentum we are seeing in our customer file as our base continues to become increasingly digitally active and diverse. We're especially encouraged by the traction we're gaining with new younger customers. We were recently highlighted by Ad Age as a brand that's gaining popularity with Gen Z. Conducted quarterly, their pulse surveys U.S. consumer ages 18 to 24 and the fourth quarter survey showed JOANN's ranking increased 10.3 points over the third quarter, and 1 of only 3 retailers to make the top 20 list. We're seeing this translate into our customer base with the average age of our customer continues to decline from where we were prior to the pandemic with sales to customers under the age of 35, increasing by 19%. Even with this customer momentum, we recognized consumer and macroeconomic environments remain uncertain, and many customers given the inflationary pressure we continue to see are managing how frequently and how much they spend. That said, we do see impact to growth in fiscal 2024 as we begin to realize incremental revenue through our strategic and Blue Ocean initiatives as well as seeing growth in our e-commerce business. This growth includes DITTO, which we believe has the ability to revolutionize the selling industry. DITTO, to remind everybody, is a 50-50 joint venture with SINGER, Viking, PFAFF. The business successfully launched during Fashion Week in New York in early February 2023. This is a truly revolutionary product and platform for sewing enthusiasts, which aims to take the most painful part of sewing, laying out tracing and cutting patterns and turn it into the most enjoyable part of the process. The patented DITTO system uses an AI platform integrated with the precise digital projector system and mobile app to enable easy access to a multitude of designs and allow sewers to easily adjust and customize patterns instead of spending hours on the step of the process. Sewers can literally move from ideation to sewing in minutes. We believe DITTO will be a game changer for sewing enthusiasts. And as I mentioned on a previous call, DITTO received one of the highest purchase intent scores of our external design partner has ever seen, and we have seen a very high level of excitement from the public. Since launching in February, DITTO is already gaining traction with customers. Presale units start arriving in customers' homes in mid-March, and we're already seeing reorders from the dealer network. The official JOANN in-store launch is set for Saturday, April 1. Another Blue Ocean initiative we're working on is our wholesale business, and we see tremendous opportunity with this initiative for our B2B wholesale customers. In January 2023, we launched a commercial website for our wholesale business, inspirationdirect.com. In less than 3 months, we've registered 800 customers on the site and started shipping both domestic and international orders. While it's still early, we believe our wholesale initiative is another important step with the potential to drive incremental sales. Additionally, we're excited about our recently announced partnership with the world-renowned American designers, Mark Badgley and James Mischka. Badgley Mischka is the brand that has enchanted the fashion world for the past 2 decades with Dreamlight beauty and luxuries designs. In early April, our customers will be able to purchase fabrics, trims, ribbon and even jewelry that captures this quality and beauty at JOANN. This partnership adds a new product assortment targeted at our younger customers which represents a new way to leverage strategic collaborations. As we move through fiscal 2024, we'll be rolling out additional partnerships to strengthen our position as the nation's category leader in sewing. We're also very pleased with the performance of our e-commerce business. We saw increased traffic and recorded our highest Net Promoter Score to-date in the fourth quarter as the investments we've made in our digital business continue to show results. Much like the overall business, we saw positive sales growth in our core sewing and craft categories across the quarter. As channel shopping patterns have established a new normal and the post-pandemic, our e-commerce penetration has held steady year-over-year at 14%. This is despite the headwinds in craft technology, a business that is highly penetrated online. With all of this in mind, we recognize there's still work to be done, and we're still operating in an uncertain economic environment. That said, as we level set where the new post-pandemic normal is, I believe the actions we've taken allow us to build on fourth quarter results and position us for success moving forward. And now with that, I'll turn it over to our CFO, Scott Sekella, to give a more detailed rundown of our financial results and a forward snapshot into the drivers of our anticipated free cash flow improvement in fiscal 2024 before wrapping up with answering your questions.
Scott Sekella: Thank you, Wade. As Wade discussed in his remarks, we saw positive improvement in our fourth quarter fiscal 2023 results, and we see these trends carrying over into the first quarter of fiscal 2024. When combined with our ongoing efforts to strengthen our balance sheet, enhance cash flow, reduce costs and invest in our strategic initiatives, we believe that we are well positioned as we head into fiscal 2024. Through these efforts, we expect that over the course of the year, we will be able to meaningfully improve cash flow, stabilize our top line and begin expanding EBITDA towards historical levels. With that in mind, today, I'll provide a deeper recap of our fourth quarter results, review our full fiscal year 2023 results, and provide some additional color on what we see for fiscal year 2024. In the fourth quarter, net sales totaled $692.8 million, a decline of 5.8% compared to last year, total comparable sales decreasing 5.9%. While sales early in the fourth quarter were slower than we anticipated due to some cycling of last year's fear of missing out, our comparable sales improved sequentially post Black Friday, and as Wade mentioned, we were pleased with the positive January comp. Relative to pre-pandemic levels in the fourth quarter of fiscal 2020, our total sales were largely flat, down four-tens of a point. We saw the top line strengthen throughout the fourth quarter in our core sewing and craft categories, signaling that our core consumer, who is so important to our business, is reengaging in a meaningful way. On a GAAP basis, our gross profit in the fourth quarter was $303.7 million, a decrease of 6.4% from last year and a decrease of 7.5% from pre-pandemic levels in fiscal year 2020. We absorbed $16.7 million of excess import freight costs during the quarter. This figure reflects an $18.6 million decrease to the fourth quarter of fiscal year 2022 as we continue to benefit from improving conditions in the spot market. After adjusting for excess import freight costs, our gross profit was $320.4 million. Our fourth quarter merchandising margin was down 170 basis points compared to the same period last year. Our average unit costs improved on a sequential basis at up 4.1% to the prior year period. Average unit retail slightly increased five-tens of a point relative to the same period last year driven by strategic pricing actions that was partially offset by a deeper and earlier promotional marketplace related to the home and seasonal categories. Our gross margin on a GAAP basis was 43.8% in the fourth quarter, a decrease of 30 basis points from last year. In the fourth quarter, we started to benefit from cycling the extremely high ocean freight costs from the back half of last year. After adjusting for excess import freight costs, adjusted gross margin of 46.2% represents a decrease of 270 basis points from last year, driven by the 170-basis point decline in our merchandising margin. 55 basis points due to timing and cycling of capitalized domestic freight costs; 35 basis points resulting from lower vendor allowances due to our strategic inventory receipt reduction; and 30 basis points of higher shrink expenses. These were partially offset by 20 basis points of improvement due to the optimization of our e-commerce shipping promotions. On a sequential basis, the decline in our adjusted gross margin in the fourth quarter was higher compared to the 80-basis point decline in the prior quarter, primarily due to the deeper and earlier promotional environment we experienced in the fourth quarter. We saw improvement in product costs during the fourth quarter relative to the third quarter as the cost from the peak of last year's supply chain headwinds began to roll-off. Lower costs related to import freight provided a tailwind in the fourth quarter. During the fourth quarter, we realized $26.3 million of cash benefit from lower ocean freight rates. With the renegotiation of freight contracts in fiscal year 2024, along with our cost savings initiatives, we expect the outlook for average unit cost to continue to improve. Turning to expenses. Our SG&A expenses increased by 3.1% from last year. Like many companies, we have been adversely impacted by inflationary pressures on wages and other costs across the business. With that being said, we were pleased with our ability to manage SG&A expenses despite these pressures through actions such as the strategic management of labor hours in our stores, and our continued optimization of advertising spend as we shift to more digital channels. Effectively managing these costs allowed us to support incremental spend associated with our recently opened omni fulfillment center and further fuel our strategic initiatives. Our net loss in the fourth quarter was $91.1 million, which includes a $95 million of noncash pretax impairment compared to a net income of $13.6 million in the same period last year. Adjusted EBITDA in the fourth quarter was $48.6 million compared to $88.9 million last year. Turning to the full year fiscal 2023. Net sales decreased by 8.3% to $2.2 billion and comparable sales declined 8.1%. For the year, we absorbed $91.2 million year-over-year of excess ocean freight and related supply chain costs which was excluded from our adjusted gross margin and adjusted EBITDA non-GAAP measures. Year-over-year, our gross margin rate declined by approximately 330 basis points to 46.9% in fiscal year 2023 compared to fiscal year 2022. Adjusted for excess ocean freight and related supply chain costs, gross margin declined by 110 basis points from last year to 51%, primarily driven by increased domestic carrier and fuel rates, higher shrink expenses and lower vendor allowances due to our strategic inventory receipt reduction. For the full year fiscal 2023, our net loss was $200.6 million, which includes $95 million of noncash pretax impairment compared to net income of $56.7 million last year. For the full year, adjusted EBITDA was $98.5 million. Moving on to our balance sheet. Our cash and cash equivalents were $20.2 million at the end of the fourth quarter. As of January 28, 2023, we had $87.2 million of availability on our revolving credit facility, but this is now meaningfully improved with our new first-in, last-out credit facility, which I will touch on shortly. Also, consistent with what we indicated on last quarter's call, our face value of debt, net of cash at the end of the fourth quarter was $970.4 million. This reflects an increase of $198.6 million from the same period last year and a leverage ratio of 5.9x as measured by net debt and finance lease obligations relative to credit facility adjusted EBITDA on a trailing 12-month basis. In terms of inventory, our inventory at the end of the fourth quarter was down 11% compared to fiscal 2022. This decline was in line with our expectations and consistent with our plan to strategically lower inventory receipts during the back half. Additionally, we took the necessary action in our seasonal assortment to exit the year clean and well positioned for fiscal year 2024. In fact, our clearance inventory continues to represent less than 5% of total. Our inventory position has never been as clean and this positions us well to capitalize on our innovation initiatives and the evolving consumer demand environment as we leverage test, [read and react] [ph] capabilities. As we head into fiscal year 2024, we are seeing the stabilization of our top line. We expect our e-commerce business and strategic partnerships to play an important role and provide a buffer to the business in light of the challenging and uncertain macroeconomic environment our customers continue to face. Also, fiscal year 2024 contains a 53rd fiscal week worth approximately $35 million to $40 million to the top line. As Wade mentioned, cash generation is a critical focus in fiscal year 2024. We have already initiated multiple actions that are supporting the enhancement of our free cash flow position throughout fiscal 2024. This includes our focus, simplify and grow cost-reduction initiatives. Launched in fiscal year '23, focus, simplify and grow focused on reducing annual cost by approximately $200 million in 3 broad categories across all areas of our business, including approximately $100 million of supply chain costs, approximately $60 million of product costs and another approximately $40 million of SG&A costs. While we are seeing cost reductions across all of these buckets, the most significant current impact is derived from lower supply chain costs driven by reductions in ocean freight. What was for most of fiscal year 2023, a significant headwind has become a tailwind for us as we continue to see improving conditions in the spot market. This positive change, combined with ongoing efforts to claw back inflationary increases in our product costs, and identify and implement SG&A reductions will provide a growing cash benefit throughout fiscal year 2024 and due to the timing of inventory sell-through should have a mostly annualized adjusted EBITDA impact in early fiscal year 2025. To-date, we have identified approximately 75% of the targeted $200 million annual savings. Additionally, we have taken proactive steps to improve our liquidity. As Wade mentioned, and I referenced earlier, last week, we announced we entered into a $100 million first-in, last-out credit facility. This new credit facility is an incremental facility to our existing ABL and will proactively provide the company additional liquidity as we continue to navigate through macroeconomic uncertainty. On the closing day, we borrowed the full amount available under the new credit facility to be used as cash on hand, repay a portion of the outstanding amounts under the ABL and cover transaction costs. In conclusion, fiscal year 2023 was certainly challenging. Like many companies around the world, JOANN was impacted by a series of factors that impacted our performance, such as pandemic and stimulus-fueled comps, an uncertain macroeconomic environment, unprecedented inflation and continued supply chain disruptions. However, based on the factors we have discussed today, such as the positive momentum we saw in the fourth quarter of fiscal '23 and carry over into early portion of first quarter fiscal '24, the proactive steps we have taken to reduce costs and improve liquidity as well as our continued investment in our strategic initiatives, we are excited for what's ahead, and we believe we are well positioned for fiscal year 2024 and beyond. With that, we'd be happy to take your questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question will come from Peter Keith with Piper Sandler. You may now go ahead.
Peter Keith: You had mentioned in the script that with the positive comp in January that the trend had continued. So I guess I want to clarify, does that mean that you're still running positive for February and March? And anything to call out if that's the case, if there's been more promotions or anything? Or is it just better demand trends overall?
Wade Miquelon: We're kind of halfway to the quarter. Quarter-to-date what we're seeing is low single-digit negative to slightly negative. If you take out the craft technology, would probably actually be slightly positive. So right in that order. Recall last year, we started quarter two strong, and then we had a huge kind of drop off mid-quarter, and then we rebound at the end of the quarter. But we still feel good about the underlying business. Like I said, ex-craft tech across the board, we had pretty good broad-based strength.
Scott Sekella: Yes. That's still a sequential improvement from where we were in Q4.
Peter Keith: Yes. Okay. Very good. And then just lastly on the inventory. Scott, I think if I heard you correctly in the script right towards the end, you talked about $279 million of annualized savings from lower freight, if I heard correctly. Maybe just thinking about the inventory levels, is there a way to think about where inventory could end up at year-end, maybe from an inventory days or inventory turn perspective?
Scott Sekella: Hey, Peter, it's Scott. Yes. So the savings we're expecting promotion for us what clarifies probably around $100 million sort of level as we go forward. Inventory was down 11% in Q4, and we continue to see reduction in units, reduction in cost there. And then the other big piece is with some of the supply chain disruption cleared up, our in-transit is down in a large way as well. As we go forward, we're going to continue with the strategic inventory receipt reduction, so I expect some working capital benefit from that in fiscal '24 and continued sort of clean inventories as we move forward.
Peter Keith: And any way just to frame that up for us where inventory would ultimately land by year-end? Is there a targeted level?
Scott Sekella: So a little tough to say. I expect it probably to be somewhere around close to flat to slightly down.
Peter Keith: Okay. That's from Q4 that you just reported?
Scott Sekella: Correct.
Peter Keith: Okay. All right. Thank you very much.
Wade Miquelon: Again, some of it will be a function of where we finally land with our ocean freight rates and how that flows through, we're negotiating those now. But those markets have pretty much returned to where they were pre-pandemic.
Peter Keith: Okay. Thank you very much guys. Good luck.
Operator: Our next question will come from Laura Champine with Loop Capital. You may now go ahead.
Laura Champine: Thanks for taking my question. Can you comment a little bit about how quickly you can make the $200 million of cost improvements and on the likelihood that you'll need to raise additional debt to shore up the balance sheet this year?
Scott Sekella: Hey, Laura. It's Scott. So yes, we're having great progress. As I said, we've identified about 75% of the 200, and that also doesn't take into account some of the working capital opportunities that we have. So from a cash flow perspective, we're going to see a good amount of that in fiscal '24. From an EBITDA perspective, the majority of that is actually going to come in fiscal '25. And that's sort of what we have said all along. So I kind of think about it in 2 ways.
Wade Miquelon: Because we have that add back of whatever $80 million, $90 million in ocean freight, that goes away this year. So that's also part of it, but that will flow through the P&L on an adjusted basis.
Scott Sekella: Correct. And then the product cost savings will need to flow through the P&L, but I'll get that cash flow impact this year as we buy those goods and ultimately sell them next year.
Laura Champine: Got it. So in your view, does that alleviate the need for you to raise additional capital this year?
Scott Sekella: Yes. I think the FILO was a proactive measure. So I'm not anticipating any additional capital raises.
Wade Miquelon: With the FILO is as we become more efficient in inventory management and as our in-transit goes down, it allows us to be even more efficient. We can't avail as much of our ABL at one time. So the FILO really fills that gap. So even as we work to delever this year, that just gives us the availability that we would otherwise have on the inventory.
Laura Champine: And just lastly, can you give us an estimate of what your interest expense is likely to be on the P&L this year?
Scott Sekella: Yes. I mean it's definitely going to be up because, one, you got the FILO piece in there and where rates are trending. So I'd probably expect it to be up around $100 million which is probably up around $40 million or so.
Laura Champine: Got it.
Wade Miquelon: That would assume that we've had that recent raise and maybe one more, but we aren't assuming any pullback in the back end of the year. But we also have fixed and floating swaps. So we'll start getting this benefit in the back half of the year that we entered into.
Scott Sekella: Those will more materially impact us in fiscal '25.
Laura Champine: Got it. Thank you.
Operator: Our next question will come from Joe Feldman with Telsey Advisory Group. You may now go ahead.
Joe Feldman: Hi. Good afternoon, guys. I think you made a statement, Wade, about customer engagement and reactivating. If I heard you right, you said 2 million to 3 million customers. And I just wanted to dig in there, if you could share a little more about how you did that and how you got people back in and how you stimulated them to come back to the store?
Wade Miquelon: I'll let our Chief Customer Officer, Chris, handle that one here.
Chris DiTullio: Hi, Joe. Yes, we're pretty excited about the trends we're seeing. We're seeing customers reengage in our core sewing, our core craft categories. And I think Wade mentioned in his comments, young sewers, in particular, which is really exciting for us. We've been able to use a number of more sophisticated digital marketing tactics to reach these younger customers as we've been able to shift our budgets out of traditional print and into more digital and CRM over time. So we're seeing the benefits of that being able to reach more people with less spend.
Joe Feldman: Got it. That's helpful. Thanks. And this may be for you as well, but are you seeing any trade down within category like that would reflect the environment like maybe people are reengaging, but they're reengaging at a lower price point or opting for lower-quality goods?
Christ DiTullio: So we're not seeing trade down. As we measure the performance of our different categories, we're seeing a very consistent average unit retail and a very consistent average ticket of a purchase. What impacted our business last year, I would say, was a brief dip in frequency versus a dip in how much people spend when they come in. And we saw that frequency blip begin to turn positive for us later in the quarter and early trends this year are encouraging.
Rob Will: It's Rob. Just to add in there, our craft technology business that we referenced saw AURs down 11%, which did have a negative impact on our AUR in the quarter. But as we look at those core businesses that Chris and Wade had mentioned, with sewing and craft, the balance of the craft business, we're actually seeing a nice uptick in our AURs as customers are returning to apparel sewing, which is inherently a little bit higher per yard retail.
Joe Feldman: Got it. That's helpful. Thanks guys. Good luck with this current quarter.
Operator: This concludes our question-and-answer session. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.